Operator: Good day everyone, welcome to the Cedar Fair Fourth-Quarter and Year-End Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Stacy Frole. Please go ahead.
Stacy Frole: Thank you, Kim. Good morning, and welcome to our 2015 year-end conference call. I am Stacy Frole, Cedar Fair's Vice President of Investor Relations. This morning we issued our 2015 fourth-quarter and year-end earnings release. A copy of that release can be obtained on our corporate Investor Relations website at ir.cedarfair.com or by contacting our Investor Relations offices at 419-627-2233. On the call this morning are Matt Ouimet, our President and Chief Executive Officer; and Brian Witherow, our Executive Vice President and Chief Financial Officer. Before we begin, I need to caution you that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These statements may involve risks and uncertainties that could cause actual results to differ materially from those described in such statements. You may refer to filings by the company with the SEC for a more detailed discussion of these risks. In addition, in accordance with Regulation G, non-GAAP financial measures used on the conference call today are required to be reconciled to the most directly comparable GAAP measures. During today's call, we will make reference to adjusted EBITDA as defined in our earnings release. The required reconciliation of adjusted EBITDA is in the earnings release and is also available to investors on our website via the conference call access page. In compliance with SEC Regulation FD, this webcast is being made available to the media and the general public, as well as analysts and investors. Because the webcast is opened to all constituents and prior notification has been widely and unselectively disseminated, all content of the call will be considered fully disclosed. Now, I will turn the call over to Matthew Ouimet.
Matthew Ouimet: Thanks, Stacey. Good morning, everyone and thank you for joining us. On behalf of our team, I'm pleased to report that 2015 was a remarkable year for Cedar Fair. We built momentum early with marketing and sales programs focused on the spring value season and the expansion of special limited time event offerings helped us remain strong throughout the entire year, leading to our sixth consecutive year of record results. For the full year, we reported record net revenues of $1.24 billion and record adjusted EBITDA of $459 million, exceeding our original FUNforward target a year earlier than planned. Our success in 2015 was the result of solid increases across the board in attendance, guest spending and out of park revenues. We experienced revenue increases across all of our parks, with the exception of one, which was down only 1% after seven consecutive years of increasing revenue. We believe this broad ranging success reflects the combination of currencies and initiatives along with the ongoing contribution from the investments and strategies we pursued over the past several years. While we did experience growth broadly across the portfolio. I want to take a minute to highlight three of our best performing assets, Knott's Berry Farm, Carowinds and Cedar Point. Knott's Berry Farm, along with its adjacent water parks Soak City, let the growth this year, entertaining more than five million guests. Applying the excellent brand positioning work that we completed four years ago, we have reinvigorated this parks legacy, delivering fun for all generations. Over the past two years, I've discussed with you how Knott's was a unique property. And it was important to understand its rich history and how it evolved from a simple Berry Farm into America's first theme park. We have fully embraced this history with the addition of our very popular Boysenberry Festival, the refurbishment of iconic rides like Timber Mountain Log Ride, the Mine Ride and the current work on Ghost Rider, a world-renowned wooden roller coaster. We've also included modern elements such as Voyage to the Iron Reef and the interactive digital ride, and several new children's attractions in our Camp Snoopy area. Knott's success serves as a great example of how we connect with guests at all our parks by embracing the history and unique position within the regions they operate. We are now benefiting from the consumer insights we've gained at Knott's and are applying them to other properties across our portfolio, including Carowinds and Cedar Point. Carowinds wan another larger contributor to our record performance this year. In 2013, we announced our plans for our multiyear expansions of park in the growing Charlotte market. In this past year, we've re-launched the Carowinds brand along with a record breaking roller coaster Fury 325. The investment in this park was a big success, as we generated increases in attendance, admissions per cap and in-park spending. Similar to the brand work we did at Knott's, our marketing team did an impressive job aligning the Carowinds park brand with the characteristics and values of the Carolinas. We plan to aggressively invest in this park going forward to expand its capacity and its presence in the very attractive Charlotte market. Cedar Point, our flagship park was the other larger contributor to our record results, again the broad ranging success at this park with several years in the making. In 2015, we produced increases in attendance, guest spending and out-of-park revenues at Cedar Point. We attribute a large part of the increase in out-of-park revenues to the two-year renovation of our historic Hotel Breakers and Cedar Point's mile-long beach. The guest response was tremendously positive during the hotel's first year of operations indicating our investment to upgrade not only the hotel itself, but also the overall guest experience will provide benefits for years to come. Similar to our experience with the Knott's rebranding, we have gained valuable construction and customer insight through this renovation project, which was serviced as a base to future expansion opportunities in our resort accommodations at other properties where undeveloped land is available. Our enhanced food and beverage program was also a large contributor to our success in 2015, resulting in increased in-park guest spending. The talents of our executive chefs allow us to create multi-week special events that focus on unique food and beverage offerings such as the Boysenberry Festival at Knott's Berry Farm, The Taste of the Carolina at Carowinds and Barbecue and Brew at a variety of our other parts including Cedar Point. These events were all successful in 2015 and we look forward to building upon this success in 2016. All-Season Dining was a significant contributor this year as well, and we expect this program to grow in 2016. Season pass holders pre-shape the ability and convenience of purchasing their meals and snacks ahead of time. We expect even more pass holders to take advantage of this program in year two as everyone has a better understanding of the program offerings and the value it provides. Finally, before I turn the call over to Brian, I want to take a moment to thank our team here at Cedar Fair. Their commitment and dedication to the overall guest experience is what drives the consistently strong results, our investors have come to expect. Now, over to Brian for more details on our 2015 performance. Brain?
Brian Witherow: Thanks Matt. From a financial perspective, we are very pleased with our 2015 performance, which as Matt mentioned represented our sixth straight year of record results. In 2015 we drove record attendance, guest spending and out-of-park revenues resulting in record net revenues and adjusted EBITDA. We reduced our consolidated leverage ratio to 3.4 times debt to adjusted EBITDA down from 3.6 times in 2014. With $120 million in cash on our balance sheet at year-end and we announced the 10% increase in our annualized distribution rate to $3.30 for 2016 which became effective for the December 2015 distribution payment. Taking a closer look at our operating results. As detailed in our earnings release for the year, we reported an increase of 7% or $76 million in net revenues to a record of $1.24 billion. This was largely driven by an increase of 5% or 1.1 million visits in attendance to a record 24.4 million guest. Also contributing to the current year performance was a 1% increase in average in-park guest per capita spending to a record $46.20 and an increase in out-of-park revenues to a record $138 million. We are very pleased with the balanced growth we experienced across all areas of our business. The increase in attendance is a direct result of our strong 2015 capital program, combined with the successful execution of several long-term initiatives. These investments led to record full year attendance at Knott's Berry Farm, which surpassed 5 million guests and a Carowinds which entertained more than 2 million guests this year. I know we typically don't call out individual park attendance figures, however given the transformative investments we have made at both of these parks, we thought it was worth making an exception this time. The year-over-year lift in attendance was the result of solid performances in our core ticketing channels, including the very important season pass channel, which experienced the largest year-over-year growth, up 150 basis points in terms of overall attendance mix. In 2015, season pass visitation continue to represent more than 40% of our total attendance. It's also important to mention, we saw gains in unique visitors to our parks in 2015, an important metric that sometimes can be overlooked when season pass holders are visiting more often. We're extremely pleased with the solid lift in forecast across all of our parks this past year, particularly, given the year-over-year growth in season pass visits, which tend to place additional pressure on this metric. The 1% increase in guest spending was driven primarily by increases in several in-park revenue categories, including spending on food and beverage items, merchandise and premium product offerings. Guest spending on food and beverage represented the largest contributor to our per cap increase and we believe this is the combined result of our new All-Season Dining program that we rolled out across all of our parks in 2015, our investment in new catering facilities and food locations over the past several years, and the introduction of special events throughout the season that have a significant food and beverage component. The higher level of guest spending on premium product offerings in 2015 was largely driven by the strength of our Fast Lane front of the line product, where the addition of new roller coasters provided additional capacity to this popular offering and the effective use of dynamic pricing drove increases in both volume and average price. At the park level, we also produced solid growth in admissions per caps by strategically taking pricing where we saw demand. Going forward, we will continue to strategically increase pricing across our various ticketing channels, while also continuing to carefully manage discount offerings that appeal the more value-orient guests. The 8% or an $11 million increase in out-of-park revenues for the year reflects improved results from our resort properties led largely by the successful renovation of the historic Hotel Breakers that Matt mentioned earlier. This renovation led the double-digit increases in both occupancy rate and our average daily room rates at this hotel. Moving onto the cost front, operating costs and expenses for 2015 totaled $794 million, representing an increase of $46 million or 6% when compared with 2014. The increase in costs is reflective of normal inflationary pressures and is also consistent with a record number of guests our parks entertained this past year. The increase also reflects higher labor and maintenance costs, as we continue to invest in our employees and park infrastructure to support our new revenue growth initiatives. Higher incentive compensation in 2015 due to our stronger current year performance also contributed to the year-over-year cost increase. Meanwhile, adjusted EBITDA, which we believe is a meaningful measure of our park level operating results, totaled $459 million for 2015, up $28 million or 7% year-over-year. On the margin front, we generated improvement in EBITDA margins through several contributing factors, including the significant lift in attendance that continued growth of premium product offerings such as Fast Lane and the introduction of All-Season Dining across all of our parks. The improved margins produced by these factors were offset by negative foreign currency translation and the cost associated with incremental investments we made to enhance the overall guest experience. In the end, this resulted in our reported adjusted EBITDA margin remaining comparable between years at 37.2%. Now, let me highlight a few items on the balance sheet. As we stated on earnings release this morning, our record 2015 performance and solid operating cash flows have resulted in another year of improvement to the balance sheet. We ended the year with a $120 million in cash on hand, no outstanding borrowings under our revolving credit facility, and a consolidated leverage ratio of 3.4 times. This of course improves our financial flexibility and lessens our reliance on off-season revolver borrowings, which peaked at $85 million in 2015. Overall, we are extremely pleased with our capital structure and the strength of our balance sheet today. Before I turn the call back over to Matt, I would like to briefly discuss the topic that some investors have asked about, and that is the impact of increasing minimum wage rates have in our business. It's always been important to us to attract and retain the best associates available within our markets in order to ensure we continue to deliver our best A experience to our guests. This requires paying our season employees an appropriate market rate that in many cases is above the federal or state minimum wage requirements. As a result, in an environment of rising wage rates, we would expect an increase in the cost of our compensation and benefit programs, and we are factoring that into our planning for 2016. At the same time, we're reviewing technology platforms and other initiatives, which we believe could help maximize the efficiency of our workforce over the long-term without diminishing the guest experience. Such efforts will include the introduction of self-service kiosks and additional automation within our food and beverage locations, the expanded use of our cash less game solution, and the enhanced use of labor analytics and reporting to assist in our staffing efforts. In addition, we will look to offset some portion of the rising wage rates through more cost base pricing on products within our products. If this increase in market wages is reflective of an improving economy, then we would also expect to benefit from this at some level. Despite the pressure of increasing market wages, we fully expect to maintain our strong EBITDA margins for 2016. To summarize, we are very pleased with our 2015 operating results, as well as our solid financial position. We delivered on our goal of driving top-line revenue growth to improved attendance, while also increasing guest per capita spending, even with a higher percentage of season pass attendance. We are well positioned heading into 2016. Deferred revenues as of December 31 were up 12% reflecting the early strength of our 2016 season pass and All-Season Dining programs, and we have a capital program in place that positions us to deliver record results again. We continue to generate a significant amount of free cash flow and our capital structure provides us with substantial operating flexibility. Going forward, we will continue to prudently manage our cash flows to maximize value for our unit holders through a combination of cash distributions and organic growth opportunities. And with that, I'll turn the call back over to Matt.
Matthew Ouimet: Thank you, Brian. We're looking forward to the 2016 season as our leadership team continues to identify new areas to drive profitable growth and higher returns from our capital investments and we continue to benefit from the investments that we've already made. As I previously mentioned, we're committed to making investments to enhance the guest experience at our parks for the current season, as well as pursuing longer term initiatives for continued growth in future years. We've a lot of great things coming online this summer. However, in the interest of time, I am going to focus on the top five items we believe will be the most impactful to our 2016 results. Then as we did last year, on our first quarter call in May, we'll spend a little more time discussing our longer term FUNforward 2.0 initiatives. First, I must highlight Valravn, a world record breaking roller coaster at our flagship park, Cedar Point. We've had great success in the past when new roller coasters are introduced at Cedar Point including the 2013 addition of GateKeeper. We are expecting similar success in 2016 with the addition of this unique dive coaster. We believe this investment further solidify Cedar Point status as the roller coaster capital of the world. As we mentioned in our last call, we are continuing to aggressively invest in Carowinds with a newly branded and expanded water park called Carolina Harbor and the introduction of new interactive dark ride themed around the popular Plants versus Zombies game from Electronic Arts. We expanded water park will be the largest water park in the Carolinas and will feature many new amenities such as an exclusive entrance, private cabanas and various other food and retail offerings, as well as new exciting rides and attractions for families and thrill seekers alike. Carolina Harbor will bring additional capacity to this growing park and along with the new Plants versus Zombies dark ride, both additions will serve as excellent compliments to the record breaking roller coaster, Fury 325 we introduced last year. Heading into 2016, we are again expecting a great performance from Knott's Berry Farm, driven by the brand positioning I discussed earlier. This year Knott's is celebrating the 75th anniversary of its popular Ghost Town area with Ghost Town Alive! and the interactive guest experience. We're also in the process of completely restoring Ghost Rider in an award winning roller coaster that overlooks Ghost Town, the famous s Mrs. Knott's Chicken Dinner restaurant where it all started will also reopen this spring after completing its first major renovation since opening in 1934. At our other California park, Great America, we'll be introducing a new 4D dark ride experience, that we themed around another Electronic Arts game called Mass Effect. We'll also extending the parks operating season through December with the introduction of WinterFest in all new holiday experience. WinterFest at Great America is the first phase of a multi-year initiative where we plan to take the consumer and operational insights in this event and expand the WinterFest experience to additional parks in 2017. Ultimately, we believe the opportunity to extend the operating season, at a number of our parks, allowing us to leverage the installed asset base of those parks and provide a more diversified product offerings to our guests. Finally, we're introducing a new digital imaging platform, called FunPix at our at our far, five largest parks, Cedar Point, Knott's Berry Farm, Kings Island, Canada's Wonderland and Carowinds. FunPix will allow guest to capture and share photos throughout the day or throughout the season as they visit our parks. This new digital imaging platform in combination with the expansion of our mobile app platform and the free park wide Wi-Fi solution, should significantly, improve the overall guest experience, while continuing to encourage advanced purchases. I'm pleased to say our first park, Knott's Berry Farm just went live with this product last week and the guest response has been overwhelmingly positive. We expect this initiative to have a nice return in its first year of operations, but more importantly, we see opportunities to build upon this new individual platform over the next several years, as it also serves as a powerful tool to amplify our social media messaging. The items I've mentioned have contributed to the impressive start to our early season pass sales for 2016, which are up in both the number of units sold, as well as the prices paid per unit. Our sales teams are also busy identifying new prospects and building on their existing relationships. And our CRM and revenue management teams are implementing new ways to incentivize customers to purchase their tickets in advance. These are just some of the many initiatives, we expect to contribute to a record 2016 performance, taking into consideration our strong performance in 2015 and our positive outlook heading into 2016, we now expect to achieve our FUNforward 2.0 long-term goal of $500 million in adjusted EBITDA or more earlier than our original target of 2018. Before we open the call up for questions, I just want to say that we are fortunate to have a business model that has demonstrated resiliency in varying economic conditions. Popular topics of market uncertainty today including the Chinese economy and the price of oil have little to no direct impact on our business. We have a strong balance sheet and a very rational degree of leverage. We're committed to a quality sustainable distribution that today is yielding more than 6%. The barriers to entry for our industry are real. We continue to invest capital to enhance the quality of our parks, protect our industry-leading per caps and drive greater returns from our installed asset base. I'm very fortunate to have a talented leadership team, along with a board of directors that serve as a valuable thought partner for all of us. This is what Cedar Fair is, and this is what has served us and our unit holders so well for a long time. Now, we'll open up the call for questions or comments.
Operator: Thank you. [Operator Instructions] Our first question is from Barton Crockett from FBR Capital Markets.
Barton Crockett: Okay. Thank you for taking me here. I was curious for a little bit of detail around the rise in the deferred revenues, which you said was 12% tied to the season pass and the All-Season Dining. Can you give us a sense of a split between the two, because the All-Season Dining is kind of new, and maybe is a faster grower, are both of them kind of equally growing at around that 12% or is it really split towards one over the other? That's one question. And then the other question I'm interested in is on the cost. If we're looking to get a sense of how much the minimum wage could affect you, could you give us a sense of, if attendance is flat, what kind of cost pressures would you see in 2016 relative to 2015. Just so we kind of gauge, what's the attendance driven in the 6% growth we had in 2015 versus just normalize business and how that carries going forward?
Brian Witherow: Sure Barton. This is Brian. First on the deferred revenue. We're not going out specifics on the individual buckets that sit within deferred revenue, but what I can tell you is, broadly speaking season pass, based on the size of the – and cost of the product, versus dining. It would be larger of the two components. Both are trending ahead of where they were last year as you indicated Season Dining is a newer product in our system, first year, last year for eight of the 11 parks. And so we do believe that product and that initiative has a lot of runway in front of it, but the metrics are stronger, the trends in those metrics are strong on both. As I would also just add are the advance booking that we're seeing in the group channel as well as the – as well as the bookings at our resort properties. So we are very pleased, very early in the season, so I should caveat out with that comment, that it's still very early, but very pleased with all of the early season indicators as far as trends, year-over-year trending is concerned. On the cost side of things, as we indicated on the call, minimum wage pressures are going to be and are a very real thing for us as we head into 2016, seasonal labor, labor in total is one off, if not our largest single cost item on the – on the P&L and the pressures in that area are real. We're not going to give out specifics as far as what the exact amount is that we baked into our plan for 2016, but I can tell you we've – as we said on the call, we do have initiatives in place to try and offset some of those increases through embedding technology and other initiatives to drive efficiencies. If we think about just broadly, attendance remaining about the same year-over-year and we carve-off labor or minimum wage pressures, I would expect basic inflationary pressures to probably be another couple of basis – couple of hundred basis points, 200 basis points to 300 basis points will be the normal range for inflationary pressures for us in any given year.
Matthew Ouimet: The other thing I would say Barton is, we've test – Richard Zimmerman, our Chief Operating Officer, who in turn has put together a team of about 10 of his top people, what we call workforce optimization, and I think that is a long-term initiative for us, specifically focused and where capital to make a difference, whether it be the cost of labor or the availability of labor, we have to be more proactive in this area. We've always been good in managing our labor cost. I don't want to make – say anything different than that. But I think we got to take it up this step and Richard is going to lead that initiative over the next several years.
Barton Crockett: Okay. If I could just follow-up, because just to clarify one of the comments here on the 200 basis points to 300 basis points of normal inflation carving off labor. Are you saying that excluding what's happening with the minimum wage or inflationary growth and costs is 200 basis points to 300 basis points? Did I understand you correctly?
Brian Witherow: Yeah. On any given year and those other channels, utility, advertising cost in year like this where we're going up against an election year and the Olympics, you look at all of those other big bucketed costs, and we're probably be looking at 2 percentage points to 3 percentage points of pressure in those other areas.
Barton Crockett: Okay. And do you believe that the combination of minimum wage and efficiency means that your wage pressures will be north of that? Can you give us that level of colors or is that you're not really ready to say that at this point?
Brian Witherow: I wouldn't I guess go directly. The way I would answer that is, as we said on the call, we believe in spite of those pressures that the normal inflationary pressures, as – and in spite of minimum weight pressures, we'll still maintain – we believe we'll be able to maintain the strong margins that our parks are producing currently. So we will through revenue lift and another efficiencies we build in on the cost side of things be able to maintain those margins.
Matthew Ouimet: There is some flexibility too Bart, if I can just round up the conversation and we can move on, but we are good at adjusting labor levels based upon attendance that we see. And that would be if the tenants didn't materialize to the scale we thought, obviously we would take responses for that too.
Barton Crockett: Okay. Great. Thank you very much.
Matthew Ouimet: Thanks for being on the call.
Operator: And we'll hear next from James Hardiman from Wedbush Securities.
James Hardiman: Hi, good morning. Thanks for taking my call. So obviously 2015 was a really good year, EBITDA up 6.5%, 7%. Obviously, you didn't give us guidance headed into this year for the first time in a while. How are you guys thinking about 2015, did it outperform your own internal estimates? It sounds like it did, given that you are moving up your longer term target. But how should we think about that? Why – I guess, my question is why was 2015 sort of an unusual year? I'm assuming that, we shouldn't assume the same type of growth over the next couple of years. But then I guess more broadly, is the moving up of your FUNforward target just a function of a better 2015 or are you thinking any differently on 2016 and 2017?
Matthew Ouimet: So I'll start and then Brian, you can add in. I think, James, the return on our increased capital investment exceeded our expectations. That may have been that we were conservative going into it, but certainly if you look at Hotel Breakers performance and it's cascading impact on the park at Cedar Point that certainly exceeded my expectations to start with. As well as, we talked about Carowinds, we talked about Knott's Berry Farm, I think that you got to give enormous credit to our marketing team in terms of the brand positioning, and then Richard's team in terms of implementing against that brand positioning, which is a discipline that I often find is not as easy as it sounds. So I would – I would say those two – those combination of factors really exceeded our expectations, although obviously not our hopes. 2016 optimism is a little bit about how well we did in 2015, but it's more about the programs and the capital investments that we have in place for 2016. And the early indicators as Brian said in the caveat that was appropriate, I mean, this is still early, it's a small percentage of our season pass page but outside my Valravn raven who rises outside my window here at Cedar Point, and it is clear that whenever we've added a coaster at Cedar Point, we've had a very successful year. I still think Carowinds has enormous room to grow. I would tell you, and I don't mean to ramble on, but I -- just I'm proud of this what's been done at Knott's Berry Farm, I'm encouraged by what's going to happen at Great America. And so I put those altogether, and I've said recently in it something, I think before up to this point in FUNforward, we were writing new chapters, I think we're about to write a new book.
James Hardiman: Very helpful. Thanks for that. And then everybody is looking to see if the craziness that we've seen in the markets are going to have any impact on the consumer. It's almost ridiculous to ask the question to you guys given that you only have one park open, but have you seen any change in consumer behavior over the last call it six weeks, seven weeks, I guess at Knott's? And then, I guess sort of beyond that, talk a little bit about attendance in per cap mix, 2015 it was obviously much more skewed towards attendance than per cap, sounds like you guys saw something early in the season that you've identified as an opportunity. How should we think about that as we look at 2016?
Matthew Ouimet: So, I'll take the first one with a very quick response. We have seen nothing negative in any of the trends that we see at any of our parks that we would track back to concerns about the U.S. economy. And so, I'll turn it over to Brian on kind of price versus volumes.
Brian Witherow: Yeah, James. So, as I said on the call, I mean we came into 2015 with a strategic plan of driving volume, while also looking to push and pull along our per capita spending and pricing. And I would say that we were very successful on that, right? A 5% lift in volume across the system, 2% lift per caps, and if we look at it on a constant currency bracket by an individual park level, that number moves to north of 3%. So, when you're factoring out the 2015 impact of exchange rate. So, very pleased with what we saw in 2015. As it relates to 2016, I think that – as we've said before, it's a process about an optimization of the top-line. And so, when we drill down to the park level, optimizing attendance growth with pricing and per cap growth could be very different. So, sometimes when we talk in general terms, it's a little unfair to what's happening at the park level. What I would say is that, we don't believe that we've bumped our head on pricing at any significant level. There are always going to be specific ticketing channels that are a little bit more sensitive to pricing and there are going to be situations where we do push pricing and do bump our head at a park in a specific channel and if we're not doing that we're probably not trying hard, not have been taking enough chances. But as it relates to pricing broadly on admission tickets, we feel there's still a lot of runway, inside the park, as we've historically said, it's a little more challenging, it's about, I think in our minds more about capture rate and introducing the right kind of product. So I think that's why bundling and introduction things like All-Season Dining, All-Season Drink programs are very important for us. And so that will give us pricing power in the park, minus that, it's hard to on an individual product, get aggressive with pricing, because they're already pretty high prices.
Matthew Ouimet: I'd also say we are – James, we're starting to see a market awareness at a high level of the quality of the experience at our parks that we've invested in over the last three years or four years. So whether it'd be incremental attendance or it'd be place making, which we talked about before. Next year, obviously the park wide Wi-Fi, I think consumers see value there. And that allows us more confidence in our pricing strategies.
Operator: Moving on, we have a question from Afua Ahwoi from Goldman Sachs.
Afua Ahwoi: Hello guys, good morning. Just a couple of questions from me. First of all on CapEx, once Carowinds tapers off the Hotel Breakers – investment tapers off, what should we be expecting for a run rate, I think in the past, you've said $130 million is that still appropriate, given some of the adds you will be making in Great America? And then well actually pretty curious on and excited about the winter fest opportunity at Great America is there anyway, you can help us think about, what the potential lift or what you saw when you rolled out in Knott's Berry Farm, what that could look like for the fourth quarter? And then, as we think of that kinds of parks or the locations of the parks that will be added onto that in 2017. What are the parks, we should be thinking about. Thank you.
Brian Witherow: Sure Afua, this is Brian. And so first on the CapEx. Let me just start by saying, we're very pleased with the returns that we are generating on our capital investments. And I think it's best most evidenced by the 7% lift we saw this past year in revenues and EBITDA, but core capital projects that we're – that we've introduced are producing the near term returns, that meet or exceed our mid-term's hurdle rates. And as Matt indicated, there are longer term projects or investments that we're making such as park-wide Wi-Fi and mobile apps that are enhancing the guest experience and setting the stage for future initiatives. Some of those investments definitely put pressure on that, the size of our capital program, which in 2015 peeked it around a $175 million. At this point, what I would tell you is, from a normal runway, we would expect that level to comeback over the next season or two inside of a $150 million. We're not going to marry ourselves to a specific dollar amount or percentage of revenue at this point in time. We believe there are incremental investment opportunities with compelling returns that are available to us. And as we evaluate those, we won't be shy or afraid to take that capital spending number up. But I think naturally, as we look at it right now, inside of a $150 million is where I would tag it at this point in time. As per for WinterFest, I think that's a good example of one of those longer term investments or initiatives. The Knott's Berry Farm, Van has been an existence for a long time, so it's a little harder to look at that one, Knott's has always been a year around park. So, it's just sort of a natural cadence it, I don't know if it's quite an apples-to-apples comparison to what we're looking to do at Great America and other properties within the system, where we're extending a seasonal park operation out another 20 to 30 operating days. We do believe that this is going to be a multiyear commitment for us. And that we're not going to necessarily, in year one generate or see the full potential of WinterFest at Great America that we believe we'll see by year Q3 or Q4. And so, we're committed to this, we've got several other parks in this – in portfolio that we're looking at for 2017. I'm not prepared to call those out just yet, but I mean as you can imagine, we're probably searching parks that are a little bit closer to warmer climates that ones that are up north here where we're sitting at today. So, beyond that, I guess we're not at this point going to give any more specifics.
Matthew Ouimet: So, Sue, I need to jump on this because Brian didn't get to see the creative presentation that I walked through with Richard at Great America over the last couple of weeks. This is going to be an outstanding event. I think it's going to become a ritualistic visit which it does in those time of years in the Santa Clara area and it leverages the installed asset base in a way that is very productive from an economic standpoint. I share Brian's curiosity about how quickly it ramps up and over the course of multiple years, but I have a lot of confidence in that. And the other thing is it gives us a great platform to decide what we want to carry to others parks. Perhaps what resonates greater than what we think and perhaps where we are a little too smart for ourselves. So, I'm looking forward to it and I would encourage all of you on this call to get to it next year, I'd love to receive the feedback, but I'm very optimistic about that marketplace and that particular park.
Afua Ahwoi: Thank you. And maybe just actually just one or two more follow-ups from me. Can you – I don't know in the past if you've given it, but mix adjusted, so adjusting for season pass and single day or unique day visitors. What would organic pricing have been up in 2015 and is there anything you can give us in terms of what that number looks like in 2016?
Matthew Ouimet: As far as admissions per cap and pricing at front gates is concerned, we came into 2015 as I said earlier, leaning a little bit more volume-oriented than we did pricing. And so, in some channels we weren't as aggressive in 2015 as maybe we had been in 2013, 2013 and 2014. We typically are able to hit mid-single-digit increases in pricing and that translates down to the lower single-digit increases in admissions per cap when things like season pass and multi-day tickets are factored in. We've got some markets that when you look at them individually, Canada's Wonderland is a good example where we feel that market is a little bit more price-sensitive right now. So, in that market, Afua, we've been even more conservative than maybe some of our other parks. Carowinds is another market where 2015 was a lot about trying to build demand as we push that park to be more closer to a 3 million annual attendance park than where it previously have been. So, we didn't take pricing as aggressively. As we look towards 2016, I'd say generally speaking, we're leaning a little bit more into pricing and I think that will be reflective in our results as we get through the year. The season pass mix definitely does play into that. As I said on the call, we saw our mix season pass to total attendance increase a 150 basis points, it's moving further and further north of 40%. And so, that does play into it a little bit, but we'll continue to lean into pricing at the front gate in markets as we go forward.
Afua Ahwoi: Okay. Thank you.
Matthew Ouimet: Thank you, Afua, and apologies on your name.
Operator: And Tim Conder from Wells Fargo Securities has our next question.
Karen Hardy: Hi. Good morning. This is Karen, calling in for Tim here. Just two question from us, I guess the first one for perhaps Brian, just wanted to if you can call out any FX pressures on your top-line or EBITDA for 2015 and then more importantly, currently, do you expect any pressures on those two items through 2016?
Matthew Ouimet: So, as it relates to FX, without a doubt it was, as we said on the call had an impact on our reported results. What I sort of back to first and foremost is the Canada's Wonderland had an outstanding year this past year in terms of what they contributed to top-line revenue and EBITDA growth. Unfortunately, because of FX rates, their functional currency performance didn't quite translate at the same level of success in reported U.S. dollar. As we said at the, about the same time last year coming into 2015, we thought the impact to EBITDA could be in and around a $10 million or so negative hit to adjusted EBITDA. I would tell you that for the full year, it was a little bit ahead of that. As we look towards 2016, given as low as the exchange rate is today, we think our downside exposure is less than what we saw in 2015. We don't think that the Canadian dollar has that much farther to fall, but we're not smart enough to necessarily predict with any degree of accuracy where it's going to be. I think a lot of it's going to depend on when movements in the exchange rate occur as well, so we've got our fingers crossed that the Canadian dollar strengthens, but are prepared to continue to push forward irrespective.
Karen Hardy: Okay, great. And Brian, what was the – on revenues, you mentioned a little over $10 million for EBITDA, but could you maybe quantify the revenue portion as well?
Brian Witherow: At the – last year on this point in time, I believe we said that the revenue impact was going to be in the mid-20s. And so, it was in that vicinity, little north to that in similar range of what, you might comment on adjusted EBITDA.
Karen Hardy: Okay, great. And then next question is around lodging, just given the success of hotel breakers launched this year, I believe in the past you guys have mentioned something about looking at additional opportunities in the portfolio. Just wanted to see at this if you're comfortable on giving a little more color on those plans and then what that could imply for CapEx here in 2016?
Brian Witherow: Yeah. Karen, I think what I had say is, we're continuing to pursue our diligence around that question and we do remain optimistic about it and we'll have more to talk about it in probably our next conference call [indiscernible].
Karen Hardy: Okay, great. Thanks so much, and congrats on a great end to 2015.
Brian Witherow: Thank you, Karen.
Operator: Our next question is from Scott Hammond from KeyBanc Capital Market.
Scott Hammond: Yeah, thanks. Good morning. Brian, last quarter I think you had anticipated that EBITDA margin would still finish a little bit higher year-over-year. And I'm just curious what the variance was versus your thought at that point and I know historically the weather has been good, you guys have accelerated some spending on maintenance side. Just curious if some timing related issues played into that that might be a little bit of a benefit to next year or not?
Brian Witherow: Yes, Scott. So, just as to start at levels that we ended the third quarter up in the 60 basis points to 70 basis points range. And so, I think at the time there was a lot of the question as to how would that translate to the end of the year. On our last call, I indicated there were some one-time benefits in the fourth quarter of 2014, maybe the most noticeable of which would have been the insurance proceeds that we received on a business interruption claim at Cedar Point that was going to put some pressure on that, those definitely came to Ruston and pull that down. We also choose to activate several initiatives in the fourth quarter, very discretionary initiatives, but given the strength of the year and where we were at, along with as you indicated, what was a very favorable, November and December from a weather perspective. We activated a number of projects, across the system, that we feel – will put the parks in a better position from a guest experience perspective, whether it would painting of rides and other maintenance type work that we could get to. Those items, combine with the special bonus, that we paid out to our – our fulltime and part-time employees on the strength of 2015, basically brought us back to about flat end margin. So had we not made those discretionary decisions, could we've been up 50 basis points or so definitely, but I think those decisions, will benefit us in the long-term.
Scott Hammond: No that makes sense. And then on Carowinds, I know a big focus has been on the season pass there and I think adding the water park is a big step towards that this year. Can you kind of talk about some of the – maybe success you might be seeing on that park specifically to that objective and kind of maybe where the mix is, relative to where you wanted to be, I think you noted Kings Island, was kind of the model and how do you think you're going to make some progress against that this year?
Matthew Ouimet: Yeah. And so I'm not going to breakout specific season pass results for Carowinds other than to say, it exceeded where we thought, we would be at this point in time. But I think the point you made, I just want to – for this audience explain, we have traditionally seen a spike in season pass holders, when we introduced the water park expansions at scale. It tends to be a products that gets – guest visit quite frequently, although for shorter periods of time and perhaps they do the hard-ride part and it builds well into the season pass offering hard-ride park water park and then evening events. And so, we would expect that to be positive, Scott, but I'm not going to give any specific numbers.
Scott Hammond: Okay. And then the last one from me is just on the app that you kind of tested this year. Is there anything you can offer in terms of maybe some learnings and observations? And then is there going to be an expansion in 2016 into which parks you're going to put that in? Thanks.
Matthew Ouimet: Yeah. So, it's a really good question and we were deep diving into that as recent as last week because we have rolled out the new app at Knott's Berry Farm. And you – so you could actually download that if you want and take a look at what features are available on Knott's Berry Farm. The things we learn is that you've got too distinct audiences, you're going to deal with when you have an app. For us, one is the season pass holder who has some of the same needs that a day visitor does, but also very different needs, they don't need way finding, is it really pedestrian example because they know their way around park. But they do like – day guests love the fact that you can figure out ride wait times. The biggest single element that we've added to the app this year, although we've got a couple of surprises yet to come is the ability to from the app directly access your digital photos through FunPix. And so, as we mentioned earlier on the call that rollout through Knott's starting last week and we're already seeing very good adoption of that feature. And so, we think the utility of the app will continue to expand. And this year, including FunPix and other features, and we still are, although I can't disclose anything, any specifics, we still are using it to capture guest data, which Kelly finds – our Chief Marketing Officer finds extremely valuable and it allows us to directly communicate with guests for incremental behavior. I expect we'll have more to talk about by the time we get to the end of this operating season.
Operator: Anything further Mr. Hammond?
Scott Hammond: No. I'm all set. Thanks.
Matthew Ouimet: Thanks, Scott.
Brian Witherow: Thanks, Scott.
Operator: We'll take follow-up question from Barton Crockett from FBR Capital Markets.
Barton Crockett: Okay. Great. Thank you. There were just a couple of numbers I was curious about, and I was wondering if you could elaborate on what drove the change. One is your admissions revenues appear to be close to flat year-over-year, but I think your attendance are back into the fourth quarter number, I would argue that the per capita is down maybe in mid-single-digit in admissions revenue. On the flipside, the food, games and merchandise seem to be up like 9%. I know it's a seasonally small quarter, but any color on what drove those variances? And additionally, you guys have rolled out to the TV network and I was wondering if you can tell us a little bit about what you saw on the ad performance this year from that?
Brian Witherow: Barton, it's Brian. I'll tackle the first part of your question as it relates to per capita admissions. The admissions per cap – some of the numbers that you're seeing there and the flattish year-over-year is a direct impact of add backs, as well as at the end of the year will often from an accounting perspective, not to get bogged down into the accounting, will have breakage numbers on ticketing programs that are specific to a single year. So to the extent in any year that maybe we're a little bit better at booking the revenues as we go along in the interim periods, those breakage numbers can move slightly, but the biggest impact that you're seeing the flow through admissions, I think two factors are one is the FX and secondly, as I said earlier on the call we didn't lean into pricing this year nearly as aggressively as maybe we did last year. The – on the food and beverage and merch. Those are the strong lift overseeing there as a direct result of a number of the initiatives that we've commented on this call and previous calls. All-Season Dining and beverage programs have been highly successful. Fast Lane revenues have been – were up significantly. So, those are – those initiatives and the continued evolution of initiatives like Fast Lane, Fright Lane, et cetera, that have been in place for a longer period of time are what are driving the bigger lift you are seeing in those other channels. And that was really quite frankly the plan and the intend coming into 2015.
Matthew Ouimet: I am taking the FunTV question. We continue to think it's a valuable resource for us. The revenues there continue to ramp-up much like we expected because the renewal rate of those who advertise with us the previous years are very high percentage. And the rate card that we get to use in our parks is higher than what we anticipated. So, well, I think we're still going to be disciplined about the amount of time we put commercials on the televisions and which exactly commercials we take. But I think we're pleased where we are and I would expect continued growth this year.
Barton Crockett: Okay. Great. Thank you.
Matthew Ouimet: Thanks Barton.
Brian Witherow: Thank you.
Operator: That's all the time we have for questions today. Speakers, I'll turn the conference back over to you for additional or closing remarks.
Matthew Ouimet: Thank you. So, thank you for your interest in Cedar Fair and for your time today. We are very pleased with the growth we achieved in 2015. And as we've discussed, we have positive expectations for this coming year as well. As I look back over the more than the two decades I've spend in this industry, I can't recall a time where all the players were doing so well at the same time. Given the variety of entertainment options and life distractions, the collective success of the regional and destination amusement park business is truly remarkable. I point this out as it confirms the absolute importance consumers' test to having fun with their families and friends. It is this basant desire that serves, it's a foundation for the quality of our business model. We are extremely proud of our parks, each one is unique in its own special way, but they all are consistent when it comes to the commitment to a quality guest experience. I strongly encourage you to visit one or more of our parks this summer. I know this will help you understand why Cedar Fair has been so successful over the past many decades and why we are so confident in the future. Let me close by saying 2016 is going to be a fun year. Stacy?
Stacy Frole: Thank you, everyone, for joining us on the call today. Should you have any follow-up questions, please feel free to contact me at 419-627-2227. We look forward to speaking with you again in about three months to discuss our first quarter results.